Operator: Good day, ladies and gentlemen, and welcome to the First Quarter 2014 Great Lakes Dredge & Dock Corporation Earnings Conference Call. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to introduce your host for today's conference, Mary Morrissey. Please go ahead.
Mary Morrissey: Good morning, this is Mary Morrissey, and I welcome you to our quarterly conference call. Jon Berger, our Chief Executive Officer; and Katie Hayes, our Interim Chief Financial Officer, will discuss operational and financial results for the quarter ended March 31, 2014. Following their comments, there will be an opportunity for questions. During this call, we'll make certain forward-looking statements to help you understand our business. These statements involve a number of risks, uncertainties and other factors that could cause actual results to differ materially from our expectations. Certain risk factors inherent in our business are set forth in our filings with the SEC, including our 2013 Form 10-K and subsequent filings. During this call, we also refer to certain non-GAAP financial measures, including adjusted EBITDA from continuing operations, which are explained in the net income to adjusted EBITDA reconciliation attached to our earnings release and posted on our Investor Relations website, along with certain other operating data. I would, first, like to turn the call over to Katie Hayes, our Interim CFO.
Katherine M. Hayes: Thank you, Mary, good morning. Total company revenues for the first quarter 2014 were $174.4 million, a decrease of 3.2% from a very strong first quarter of 2013. Our dredging segment recorded lower revenues in the current quarter, largely due to severe weather, which both contributed to longer project duration and equipment downtime for maintenance. Total company gross profit margin for the quarter declined to 12% compared to 17.1% for, again, the strong first quarter of 2013. Primary drivers of total company gross profit margin include tightening margins in certain of our dredging contracts due to severe weather and equipment downtime, which were partially offset by higher gross profit margins from the rivers & lakes project, as well as our environmental & remediation line of business. The margin contraction was also driven by minimal dredging activity in the Middle East. Total company operating income was $2.9 million for the quarter, down $11.6 million from our prior-year quarter, primarily due to the lower gross profit I just noted. Operating income in our dredging segment decreased to $7.4 million compared to last year, due to the lower fixed cost coverage driven by downtime, while the environmental & remediation segment experienced an operating loss similar to the prior-year quarter, due to higher G&A, partially offset by stronger operating results. The dredging -- the domestic dredging bid market for the quarter ended March 31, 2014, totaled $376 million compared to $237 million in 2013. The company won 37% of the overall domestic dredging bid market during the quarter, which is below our prior 3-year average of 46%. Please remember that variability in contract wins from quarter-to-quarter is not unusual and the win rate for one quarter is not necessarily indicative of the win rate that the company is likely to achieve for the full year. Through the first quarter, Great Lakes won 22% or $45.8 million of capital projects awarded, 100% or $4.9 million of the coastal protection projects awarded, 74% or $89.3 million of the rivers and lakes projects awarded. Great Lakes was not awarded any maintenance project during the quarter. Contracted backlog -- dredging backlog at March 31, 2014, was $515.1 million, which is a 49% increase compared to the same quarter in 2013. The award of the Lake Decatur and another phase of Miami helped keep backlog levels constant from year-end. In April, the company was low-bidder on 3 contracts totaling nearly $51 million, which included a $25 million river deepening project in Delaware, a coastal protection project in New Jersey for a near-$18 million and a $7.8 million maintenance project on the Mississippi River in Louisiana. Environmental & remediation segment backlog was $77 million at March 31, 2014, compared to $28 million at March 31, 2013. The award of a new phase of a long-term remediation project in the Midwest is the primary component of this backlog. This is the highest backlog for this segment, specifically Terra, the main business of this segment. During the first quarter, we were able to decrease our investment in working capital and keep that level fairly constant with year-end. We continue to focus on managing working capital and the free cash of the business. We've spent $22.9 million in capital expenditures in the quarter, of which $12.4 million was for the ATB. We are currently finalizing financing for ATB that will allow us to fund the remaining construction of this vessel and provide long-term financing upon completion. I'd now like to turn the call over to Jon Berger, who is going to discuss our markets as well a strategic planning and growth considerations for moving forward.
Jonathan W. Berger: Thank you, Katie. As Katie discussed, the harsh winter had a significant impact during our first quarter. Projects was slowed down in each of our operating units. Nonetheless, given our solid backlog and improved weather conditions, we're optimistic that we will have solid performance in the second quarter. Let's turn to dredging. First, we are pleased about the rivers & lakes being awarded the $89 million contract for dredging on Lake Decatur in Illinois. Not only is rivers & lakes backlog the largest it has ever been, but also, this contract demonstrates that there is a market for our combined dredging and remediation services platform. As you may recall, the contract involves dredging nearly 11 million cubic yards of material from Lake Decatur's Basins 1-4 and rehabilitating the Oakley Sediment Basin at the site. This will be performed by our remediation subsidiary. Once completed, this project will restore roughly 30% of Lake Decatur's capacity. Additionally, this is a complex project where we'll be pumping materials over 50,000 feet, involving coordination of 4 booster pumps through the pipeline system. This is very similar to the work we did in our Empire Pipeline project in the Gulf. Given the growing scarcity of water in some regions throughout the United States, we expect other municipalities to make similar investments in their water systems. Successful execution of the Lake Decatur project will make us well-suited for similar projects in the future. I would also like to mention that, as an Illinois-based company, the vast majority of the workforce of this project was locally sourced and live in the communities who are funding this project in Illinois. As Katie mentioned, our domestic production dredging segment recorded low revenues in the quarter -- in the current quarter, versus quarter one, which was a extremely strong quarter in 2013. This is largely due to severe weather. This revenue will be captured in the coming months, but this does contribute to longer project durations and equipment downtime for maintenance during the quarter. Turning to the East Coast and coastal protection. There are still significant work that was put out under the Sandy appropriation that should be put out and the next round of contracts to come are more mega pump contracts compared to the work that was done to date. They will include fortifying the beaches for the future, as opposed to the last set of work that focused on repairing damaged shorelines. This work has been delayed, but we expect these projects to awarded later in 2014. I'd like to give you a quick update on the PortMiami deepening project. This project is going well and is on schedule. An artificial reef has been built and we are currently relocating the live coral from the channel that is going to be dredged to the new reef. We have one of our cutter suction dredges detects as pretreating certain rock areas for excavation by another Great Lakes dredge, which is improving the overall work schedule on this project. Let's switch to international for a moment. Internationally, the Wheatstone Project in Australia is going as anticipated and is on budget. As Katie mentioned, we had minimal dredging in the Middle East during the first quarter, but we have one project in the Middle East in our backlog and are pursuing several additional opportunities to improve utilization of our fleet. In the southern hemisphere, we recently won a project for a port in Brazil to create a berth, the Port of Santos. As we said in the past, Brazil is an attractive market for us, and we think there's significant opportunity for us to grow our presence there. Let's now talk about Washington for a moment, and the WRDA bill. As you know, we followed this bill very closely given the impact its passage will have on the dredging industry. Based on our knowledge and discussions, and comments from key members of Congress, we are optimistic that the passage of this bill will occur by the end of the second quarter. This is exciting news for several reasons, but especially because it will make more funding available for dredging. It provides authorization, though not appropriation, for some large port projects, deepenings, such as the Port of Savannah, which will have a higher dollar value amount appropriated to it once the bill passes. I should also mention that the bill will improve and expedite the planning process for dredging projects. Clearly, passage of this bill will be a benefit to the whole dredging industry. Let's turn to the environmental & remediation demolition segment. As we've previously announced, we completed the sale of our historic demolition subsidiary NASDI and Yankee Environmental on April 23 of this year. With the divestiture finalized, we look forward to being able to focus even more on executing our strategy of successfully providing a growing set of environmental and remediation services that complement our core dredging business. We'll be spending the next few months working with the buyer to collect certain assets for our account, including WIP, accounts receivable and claims resulting from work prior to the sale. We are pleased that despite the harsh winter weather, the environmental & remediation segment had a strong performance and more than doubled the revenue in the first quarter of 2014 compared to the same period in 2013. We nearly tripled the amount of backlog at 331 compared to the same period last year. This segment is clearly positioned to have another strong year. The segment's successful execution on several larger projects, along with the platform of services available under the corporate umbrella, will can contribute to continued growth in this market. This business gives us a good base to grow this segment, and with the sale of the demolition segment beyond us, now allows us to turn our focus in doing just that. Finally, I'd like to talk about safety week. Every year, more than 80,000 workers suffer an injury on a construction job site across the U.S. And obviously, one incident is one too many. Life is too precious to make -- to not make safety the #1 focus in the U.S. construction industry. That's why 31 of our national and global construction firms, comprising the construction industry safety group and the Incident and Injury Free CEO forum have joined forces with the single aim, to inspire everyone in the industry to be leaders in safety. Each of us has dedicated this week to especially refocus our efforts with all our employees, whether on water, the shoreline or in the offices, to talk about and focus on safety, both on the job site and at homes with their families. With that, I'd like to open it up for questions.
Operator: [Operator Instructions] Our first question will be coming from the line of Jon Tanwanteng from CJS Securities.
Jonathan Tanwanteng - CJS Securities, Inc.: Can you give us a little more detail about the loss from the JVs? What's that from Amboy or Terra C? And maybe just some more color on what caused it.
Jonathan W. Berger: Sure. It was probably about 2/3 at the JV with Terra C and about 1/3 at Amboy. Amboy's was largely because of weather. Don't forget, they provide both sand and aggregates to the construction industry in New York and New Jersey. And the weather obviously had a significant impact on them, in January and February especially, as did it with each of our divisions. The Terra C joint venture. We have one project where we have significant claim on that project, that we are in the process of working through with the customer. But what caused that JV to have losses in the quarter, until we can get acknowledgment and recognize the claim, we did the work without the benefit of the revenue.
Jonathan Tanwanteng - CJS Securities, Inc.: And then just on the foreign capital business. How should we think about the run rate for that going forward? You've had about half of the -- what you've been doing for the past 6 quarters, is it going to be similar Q1?
Jonathan W. Berger: It better not be. I think we've talked to everyone on the phone that, that was one of our big concerns. We were low bid on a very significant contract in the Middle East. The contract was withdrawn and then subsequently awarded to a dredging company from one of the Middle East countries that offered to, basically, pay for the project. So that was very disappointing for us. We had committed our assets to that. We've talked about that. There is another project that -- I was actually over in Bahrain over the weekend, with the expectation of sitting and meeting with government, that we are told is hopefully being awarded to us. But we're seeing a lot of bidding opportunity, but we have got to get our equipment in the Middle East working and occupied. And, right now, we have a nice project in Saudi Arabia that we're a subsidiary for. That is going very, very well. But that isn't taking our full fleet of equipment and we have got to get that equipment working. So, we're working hard. We're looking well beyond the Middle East borders. We're quoting work in Africa. We're quoting work in Far East Asia. But we've got to get that to work, and certainly, the project that we were low bid and was taken away from us certainly set us back some.
Jonathan Tanwanteng - CJS Securities, Inc.: Okay, got it. And then just on the coastal restoration business. You had a record quarter, even despite the poor weather. Do you expect that momentum to continue or is there going to be a bit of a gap as you wait for these more preventive projects later in the year?
Katherine M. Hayes: That's the coastal protection work, and some of that was delayed in the quarter. So we expect to continue and have a strong quarter with that for the second quarter, and we did win another project in April that we'll work on. I don't think we'll see a huge gap. We might see a little bit of a gap, but not huge, as we expect more work to be coming out here over the next few months.
Jonathan W. Berger: Yes. I mean, hopefully, we believe the Army Corps is probably a little slow in getting some of this work to be bid. But the bidding schedule looks very nice and there's -- as we stated, there's some very chunky projects coming out. So, we hope not. With the award we did, the $18 million award that we won after the end of the quarter, we hope that the schedule for coastal protection will not be weak this year, in total.
Katherine M. Hayes: We still have $70 million in backlog right now as well.
Jonathan W. Berger: Right.
Operator: Our next question will be coming from the line of Andrew Kaplowitz from Barclays.
Vlad Bystricky - Barclays Capital, Research Division: It's Vlad Bystricky on for Andy. Maybe, first, can you talk about -- in the environmental & remediation business, you had nice quarter there and very strong backlog. Can you talk about visibility, that you have, for additional large projects in that business over the course of this year?
Jonathan W. Berger: Yes, there are some potential opportunities that would be third and fourth quarter. They also do a significant amount of $1 million to $5 million projects. But they have 2 rather large projects. They obviously have the project we did last year. Enbridge has another phase this year, that we're in the field now and going. It was slow, because of the weather, of getting up and running. They have a $15 million project, that brownfield project that we transferred over from our demolition business, that the vast majority of that should be executed this year. And they have, I believe, $11 million worth of work in their backlog associated with Lake Decatur, to do the land-side rehabilitation of the disposal basin. So, for the next 2 quarters, they have a tremendous amount of people in the field. But we are bidding some work but I'm not sure there's, what I'll call, a mega project, $30 million, $40 million, $50 million project out there at the moment. But there are some nice $5 million to $10 million projects that we're looking at.
Vlad Bystricky - Barclays Capital, Research Division: Okay, that's helpful. And then maybe just internationally, you mentioned Brazil in your commentary on a port there. Can you give us an update or elaborate on some of the other opportunities that you're seeing in Brazil and how that market is unfolding today?
Jonathan W. Berger: Yes. I mean, certainly, there's big discussions in Brazil on a whole second phase of dredging in their key port. We play, what I'll call, in the smaller segment of that market. Our big hoppers, our hoppers that we dedicate to international, don't compete with the big international hoppers. But there is a clamshell market, along certain smaller ports, along the inland side of the ports, along around the docks, that we think is very well suited for our clamshell set of dredges. We have one clamshell down there, we believe there's potential to bring another clamshell down there. And there aren't many, if any, clamshells of the size that we would bring down there to work in that area. And the clamshells are more efficient than the very, very big hoppers that handle the middle of the port. So that's where we see as a real nice little opportunity for us.
Vlad Bystricky - Barclays Capital, Research Division: Okay, that's helpful. Maybe one last question and I'll get back in the queue, just on the mechanical delays in dredging in 1Q. Can you just give us some color on that? Was that limited to a particular vessel or project and has that all been remedied now?
Jonathan W. Berger: Yes. Katie, why don't you take that one.
Katherine M. Hayes: Yes, there are a couple of projects where the dredges had some mechanical downtime. It was 2 of them. They've all been remedied and are back to work. And then in addition, just due to the severe weather, also caused a couple of mechanical issues on some other projects. But again, those have been fixed and the projects are either completed or in process.
Operator: Our next question will be coming from the line of Scott Levine from Imperial Capital.
Scott Justin Levine - Imperial Capital, LLC, Research Division: I know it's not your policy to give formal financial guidance, but was hoping for a little bit more color on your expectation for both the potential for backlog to increase further going forward. And also, some color regarding your expectations for margins and whether you're seeing any improvement in pricing, generally, particularly within the U.S. market.
Jonathan W. Berger: Sure. That was probably 3 questions. So I'm going to try to get to them all in some order. Obviously, our backlog, if we can gap [ph] and get in the boat, one of these international projects that we're chasing, would change dramatically because international capital projects we're looking at are rather large. That would give us nice coverage for probably 300, 400 days for a good suite of equipment out there. Domestically, we do think there are going to be some large chunky contracts coming out on the East Coast for the beach work. And so we think we should be in, at least to maintain our backlog or hopefully increase it. On the Savannah River deepening -- everybody talks about the fourth quarter, or the third or fourth quarter coming out to bid. If word WRDA gets passed, it is authorized. And there's 2 phases. You have to be authorized and then you have to be appropriated. It hadn't been appropriated, but the state has certain money that they will contribute. And, like Miami, I think you're going to see a growing trend of state and local funding a significantly larger portion of those than you've seen in the past. From a share standpoint, Miami has kind of led the way. So, I anticipate Savannah will be no different. So if that comes out, there's a significant amount of dredging there. Obviously, the prices they talk about, the $500 million, $600 million for the whole project, also involves a lot of land side, a lot of things that aren't pure dredging. And Gulf Coast, we're just kind of waiting to see there, but I think there's projects there. So it's a long-winded answer to say, for most of our markets, we do think that we will continue to operate at backlogs that are at this level or hopefully more. The real fulcrum is, again, the Middle East. We've got to get that equipment occupied.
Scott Justin Levine - Imperial Capital, LLC, Research Division: Understood. And as a follow-up, I don't know if this is possible. But can you quantify, in your estimation, the earnings that were lost or revenue that was lost as a result of weather and comment as to whether you would expect that to come back in 2Q or most of it, or all of it? Just a little bit of help, I guess, with regard to modeling the quarter that's in front of us.
Jonathan W. Berger: Yes. I mean, I'm not sure of the exact number of revenue, 20, 30 [indiscernible]?
Katherine M. Hayes: [indiscernible]
Jonathan W. Berger: Yes. And to give you an exact -- but yes, it's all deferred revenue. Now, obviously, the margin on all that deferred revenue will shift to those projects, because when you have dredges tied up because the dredges totally iced over or the weather is just too, too cold or rough to put somebody out there safely, we don't send people home and able to defray that cost. So, the individual projects that we were operating on should have depressed margin. But the revenue itself, we should be able to recoup it in second, third quarter. And I can't give you specific numbers, but I mean, the northeast projects were all delayed. And the problem with these delays, it could 1 day here, 4 days there. The basin work in Lake Decatur probably got delayed a month because we couldn't dig in the ground, it was just to iced over, and we expect to be able to start that in March. So that affected both rivers and lakes, and our environmental business. The brownfield projects slowed down because of the severe weather in Jersey. So it's bits and pieces on a lot of little jobs. So that's why it's not very easy for us to quantify it.
Scott Justin Levine - Imperial Capital, LLC, Research Division: But maybe just to try for a little bit more. In general, would you expect a maybe more than a normal seasonal uptick in activity as a result of a catch-up?
Katherine M. Hayes: I mean, we'll definitely expect to see a strengthening in Q2 versus Q1.
Jonathan W. Berger: Right, yes. yes. Q2, all indications are that it should be a very solid quarter.
Operator: Our next question will be coming from the line of John Rogers from D.A. Davidson.
John B. Rogers - D.A. Davidson & Co., Research Division: A couple of things. I guess, on your 2 -- I think they're your largest projects, Wheatstone and Miami. How much is left on those to complete?
Katherine M. Hayes: Miami, let's see, it's May. We probably have about another year left on that at least.
Jonathan W. Berger: I'd say, for sure, yes.
John B. Rogers - D.A. Davidson & Co., Research Division: And Wheatstone?
Katherine M. Hayes: Through the rest of this year. Wheatstone should be the rest of this year.
John B. Rogers - D.A. Davidson & Co., Research Division: Okay. And I guess what I'm trying to understand -- were either of those projects impacted by the weather?
Katherine M. Hayes: Miami was impacted a little bit by the weather. I mean, it's still on schedule and everything but they can have some rough seas, even though it's Miami. They experience some rough seas when they go to the outer areas. But overall, for that project we have is reduced a little bit by weather.
Jonathan W. Berger: And Wheatstone certainly, it's -- what do you call it, typhoon season or...
Katherine M. Hayes: Cyclone.
Jonathan W. Berger: Cyclone season right now. So there are times that we had to, I think, in the first quarter...
Katherine M. Hayes: We had to pull off.
Jonathan W. Berger: We had to pull off the project totally.
John B. Rogers - D.A. Davidson & Co., Research Division: Okay. But I mean, if you just think about the scale of these, I mean, they should be generating I would -- on a straight-line basis $10 million, $15 million a month. And I'm just trying to understand -- I would've thought that would've been adding -- holding your margins up or the other projects are losing a lot of money. Am I just thinking about this the wrong way?
Katherine M. Hayes: No. I mean, they have good margins and we're recording revenue. And it's obviously a big piece of our results, but they're only a certain portion of our equipment. We have a lot of equipment out there that's working on different projects.
Jonathan W. Berger: Yes. I mean, if you think about it, Wheatstone, we have one dredge plus port equipment. Miami, we have the Texas. And then intermittently, we've had a hopper down there and we've had a clamshell there. Plus other support equipment obviously, scows, spider barge, et cetera. But with the size of our fleet, those are certainly big revenue generators. But we have other dredges that -- we certainly have a reasonably decent sized fleet that -- and a lot of that, historically -- don't forget, the beach work is typically done during the winter in the Northeast because people use the beaches during the summer.
John B. Rogers - D.A. Davidson & Co., Research Division: And is Wheatstone in your foreign capital dredging?
Jonathan W. Berger: Yes, it is.
Katherine M. Hayes: Yes.
Jonathan W. Berger: Okay. That's what's bolstering our foreign numbers in total.
John B. Rogers - D.A. Davidson & Co., Research Division: Okay, okay. All right. And in terms of just your utilization schedule into the second quarter -- I mean, seasonally, this -- I'm assuming this is your strongest period, before people start using the beaches again in the summer. It that kind of the way you're thinking about, and then ramp back up again in the fourth quarter?
Katherine M. Hayes: Yes.
Jonathan W. Berger: Second quarter should be very strong. You have turtle windows, we deal with them, but...
Katherine M. Hayes: So, yes. The third quarter, we do have environmental issues that -- we're down. So we can't work because you don't want to put sand on the people and you don't want to -- turtle nesting and various things like that, that keep us from doing a lot of work in certain areas in the third quarter.
Jonathan W. Berger: Right, and then the fourth quarter becomes another strong quarter.
Katherine M. Hayes: Yes.
John B. Rogers - D.A. Davidson & Co., Research Division: And, John, your expectation still is -- I mean you can get this back up in the double-digit operating margin? I mean, that's...
Jonathan W. Berger: Yes, absolutely.
Operator: Our next question will be coming from the line of Rick D'Auteuil from Columbia Management.
Richard G. D'Auteuil - Columbia Funds Series Trust I - Columbia Small Cap Core Fund: Just a couple of questions. The first one relates to the sale of the demo business. What's the expectation on what's hanging out there for you to collect? You have prior claims, right, and then you had some receivables. And you said, John, I think mentioned, with...
Jonathan W. Berger: We have the WIP, and AR and then claims. All of which, prior to closing, are ultimately financial instruments that we'll get back in the structure. And hopefully, the WIP and the AR should turn, I would assume, in the next 60 to 150 days. And then the claims, our claims that we're going to have to work through, and we've been working through them for the last 6 months for 1 year.
Richard G. D'Auteuil - Columbia Funds Series Trust I - Columbia Small Cap Core Fund: And is your ability to collect influenced by the sale of the assets?
Jonathan W. Berger: There are structural mechanisms in place, such as -- the WIP should be very good. The AR, we don't see major problems. We've scrubbed that AR very, very good. Obviously, it's the construction industry. The claims are out there. The claims have been out there. Ultimately, we have responsibility and we make the investment decision, how to go after those. And there are 2 specifically big ones. One of which, I think, we feel very, very good about. The other one, we think it'll be a negotiation. But ultimately, we think the total collections from all those assets will exceed or hold onto the book value we had booked after our write-down. So we think we should do okay.
Katherine M. Hayes: Yes, and there's mechanisms in the sales contract that allow us to be able to execute those claims and to collect that WIP and AR and work with...
Jonathan W. Berger: Work with the buyer. And even though we sold those assets, we have the financial instrument. Basis the fact, we do have an ability to influence how we collect those.
Richard G. D'Auteuil - Columbia Funds Series Trust I - Columbia Small Cap Core Fund: And the claims have been out -- those 2 large claims have been out there for now, I think, multiple years. Can we button all this up by December? You expect to have...
Jonathan W. Berger: It's our goal. I mean, we have a mediation on one, in 3 or 4 weeks. Depending on the level of discount I want to take, yes, I certainly can button that one up. The other one is with a governmental agency. I don't think it's a -- this one I actually think very, very strongly. It's a good claim. But it's tied up in a subsidiary -- excuse me, a subcontractor's work, on work that they did. Before we get paid that has to be resolved. So there are some complications, but all indications from the city agency in New York on that one is we've done very, very good work. They're not really disputing our work, whether it was poorly done. The work that we've done. So I feel very strongly about that one. The other one is with a private contractor for work we did in New York City. That one's going to be a slugfest unless we come to mediation and get comfortable.
Richard G. D'Auteuil - Columbia Funds Series Trust I - Columbia Small Cap Core Fund: Okay. And then with the exit of the business, what is being done on the cost reduction, both divisionally and on the corporate side, to rightsize the business for that exit?
Jonathan W. Berger: Yes. I mean, right now, we probably have 1 or 2 people, full-time, on the demolition side. Basically, helping us collect. And then we have a couple of project managers on a consulting basis, as we need them, to help us document our claims aspect. And that's all, from an operating perspective, we have going forward on our demolition segment. From our corporate overhead, we've switched people to our ERP. Our ERP implementation, which we knew, as opposed to hiring people to work on that or hire consultants. We've taken some of our staff functions to work on that. We have done a nice job of starting to manage down some of our location costs. But that'll take, really, the third and fourth quarter before we see demonstrable kind of take down on that. But we're watching all of our costs very closely. And by the sale of NASDI, we did get the vast majority of the people, and the people they didn't take, we laid off at the end of April.
Richard G. D'Auteuil - Columbia Funds Series Trust I - Columbia Small Cap Core Fund: Okay. And at corporate, there were no layoffs, though?
Jonathan W. Berger: We transferred. We transferred people into an ERP where we had anticipated, otherwise, having to hire them.
Katherine M. Hayes: Right. So we had them work on ERP as well as the segment that's left. The environmental & remediation is growing and so we want to ensure that we're supporting them as well.
Jonathan W. Berger: I mean, if you really look at our base people, we transferred that NASDI revenue into remediation revenue. We did let go of 1 attorney who worked specifically for our demolition business, worked in corporate. So we outplaced him and he found a job very quickly, which is great. So we did outplace him associated with the sale. So, yes.
Richard Shannon Paget - Imperial Capital, LLC, Research Division: Okay. And then this Middle East project, that's large, that you're talking about. What's the timing of that and what's your confidence level? Middle East has been a tough market for you guys. And I get the fact that you think you're a winner of work and then it's taken back away and it's not easy to move the equipment around.
Jonathan W. Berger: Yes, right. I mean, the project that we were low bid on ultimately got withdrew. We were joint venturing with one of the international dredging companies and it was over $200 million project, over $100 million to us. And we were low bid, they kept it open. And so it's hard for us to dedicate that equipment to something else. This other project is a project that could get going in 2 or 3 weeks. It's back in the Minister of Finance. The tender board has approved, again, awarding this to Great Lakes. It would be a variation order on an open contract we have. So, if the Ministry of Finance does not try to sell this project to somebody else, i.e. the same government in the Middle East that funded the other job, we can get going. And there's a time constraint on getting this project on. It's a land reclamation, which actually is going to put a new manufacturing facility from Mondelez in Bahrain. And the first segment, they promised them the land, I think, some time before the end of the year. That's why we have a level of comfort that we can execute on that, that the other people can't. I went to Bahrain this weekend. We talked to our ambassador and his team, ambassador -- we actually tried to talk to the crown prince, but he was busy. But these things aren't done till you get them.
Richard G. D'Auteuil - Columbia Funds Series Trust I - Columbia Small Cap Core Fund: What's the Plan B, John?
Jonathan W. Berger: Plan B is -- yes, well, I think we're on Plan C now. Just to be fair, Plan A was the first project, Plan B is Mondelez. There are some other projects coming out to bid. There's some subcontract work. We are talking to some of our competitors to use some of our equipment. We'll probably go back to the other dredging company that was awarded that project and see if we can sell some of our equipment to them for a period of time. We are bidding some work in Mozambique. We're looking, plenty of places. And honestly, the midterm bidding opportunity is very nice for some of this international work. There's been a big uptick. But Plan B is an important project for us to get. It takes a good portion of our fleet and keeps them busy for the next 300 to 400 days if we get that project.
Richard G. D'Auteuil - Columbia Funds Series Trust I - Columbia Small Cap Core Fund: We might see something as early -- you put out a release on -- I think it would maybe later this month.
Jonathan W. Berger: That would be our hope, yes. I mean, time is waning for them to get this and to meet any commitments they have for the manufacturer at Mondelez, on getting that land so they can build according to their schedules.
Operator: Our next question will be coming from the line of Paul Betz from BB&T Capital Markets.
Paul T. Betz - BB&T Capital Markets, Research Division: Sorry, if I missed this. Did you give the operating income breakdown between dredging and remediation group?
Katherine M. Hayes: Yes, I believe I did. Let me just pull up my cheat sheet. So the operating income for dredging, for 2014, was $7.4 million. Operating income for environmental & remediation was an operating loss of $4.5 million.
Paul T. Betz - BB&T Capital Markets, Research Division: And can I have that for last year as well?
Katherine M. Hayes: Sure. Dredging is $19 million for 2013, for the first quarter, and environmental & remediation was essentially the same as this year, negative $4.5 million.
Operator: Thank you and at this time, I'm not showing any further questions. I would like to turn the call back over to Mary Morrissey for any closing remarks.
Mary Morrissey: We appreciate the support of our shareholders, employees and business partners. And we thank you for joining us in this discussion this morning about the important developments and initiatives in our business. We look forward to speaking with you during our next earnings discussion in August. Thank you.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program, and you may all disconnect. Everyone, have a great day.